Mizuho Shen: Welcome to the Recruit Holdings Q2 FY 2023 Earnings Conference Call. This call is a simultaneous translation of the original call in Japanese, and translation is provided for the convenience of investors only. I am Mizuho Shen, Group Manager of Investor Relations and Public Relations. And joining me today is Junichi Arai, Executive Officer of the Corporate Planning division.The first quarter financial results presentation video and its transcript were uploaded to the IR website at 3:00 p.m. today. So all 50 minutes of today's session will be used as a Q&A session. This time, we've decided to start the call at 4:00 p.m., which is one hour earlier than in the past. This change is intended to speed up the process of uploading the Japanese-English transcript of the call for the benefit of global investors.
Junichi Arai : [interpreted]Thank you very much. And I appreciate your attendance today. We uploaded the IR website, the transcript at 3:00 p.m. today. And so I think you have seen it already. Let me briefly summarize. So for the consolidated full year outlook, the numbers will still be not disclosed because market environment is still unforeseeable. Many things could happen. So we will not disclose the outlook. On the other hand, in the financial results briefing in May, we said we expect both revenues and profit to decline. Revenue decline will remain unchanged, but the adjusted EBITDA will be a slight decline or flat. And the net profit, unless some one-off and extraordinary losses are incurred in the fourth quarter, we will keep the net profit unchanged. And the segment views were also expressed, but HR technology full year outlook will not be disclosed because it's still unforeseeable. But when I and Idekoba talked in May, if the U.S. dollar bases fall 20%, what will the margin be? We said probably mid-20s margin can be possible, we said. But we have tight cost control. And the result is shown in the first half results. So given the second half outlook, the mid will be more like upper 20s than mid-20s. So we are changing our forecast on that. But to repeat myself, we're not saying that the revenue forecast is minus 20%. Even if something happens and the fourth quarter results plunge, we can generate that level of profit. So let me repeat that message. And in the short term, second quarter results, we just announced and the -- each segment outlook and the consolidated outlook were shared with you for the third quarter. Now as we continue our dialogue, Matching & Solutions and Marketing Solutions revenue, the disclosure was not done for a long time, but on a biannual basis, we will now give the revenue breakdown in line with our business strategy. So that is one special item this time. So we shared that information with you one hour ago, including each topic, we will be happy to answer your questions.
Mizuho Shen: First of all, UBS Securities, Fukuyama-san, please go ahead.
Kenji Fukuyama: [interpreted]I believe I'm unmuted now. Can you hear my voice?
Junichi Arai: [interpreted]Yes, we can. Thank you.
Kenji Fukuyama: [interpreted]Thank you, as always. And we really appreciate reconsidering the disclosures. So one question for me is related to the change in the pricing model of Indeed. After six months, especially in the U.S., how much has it penetrated? And regarding your customers who have switched to a new pricing model, have there been any changes to how they consume their budget? Thank you.
Junichi Arai: [interpreted]Thank you for your question. Penetration wise, as we mentioned previously, we believe it has been progressing steadily, especially for existing customers. And in terms of the pace of consuming budget, well, we have been making multiple changes, so we cannot give you any uniform answer. But if you look at our revenue situation, of course, there are economic drivers. But as we described, there are multiple factors for pay job numbers to increase -- excuse me, to change. But as we mentioned previously, short-term revenue is not something we're going after by increasing the unit price significantly. The same budget with the same impact or larger impact is something we are trying to offer to our customers with this strategy. We are offering incremental value. And once it is promoted and understood, our revenue would be somewhat neutral. It will not decline. And I would describe it as a very smooth transition.
Kenji Fukuyama: [interpreted]Thank you. Regarding the unit price for a job, it has not decreased. Is that the correct understanding?
Junichi Arai: [interpreted]I believe it was in the FAQ or in my script. But we have revisited our minimum budget. And as Fukuyama-san said, there is overall a positive impact. This is not only coming from the impact of PPSA, but it has been progressing smoothly. Thank you. That was encouraging. Thank you.
Mizuho Shen: Goldman Sachs Securities, Munakata-san please.
Minami Munakata: [interpreted]This is Munakata from Goldman Sachs. Thank you very much. I have two questions. So shall I go one by one?
Junichi Arai: [interpreted]You can say two questions first.
Minami Munakata: [interpreted]First, they're both on HR Tech. First is on your first minimum budget. I don't really understand your intention. So I'm sorry to ask you the basics, but what is the advantage for the clients. And my second question is also on HR Tech. Third quarter outlook, Y-o-Y U.S. dollar basis 18% revenue decline and Q-on-Q also revenue line. And operating expenses in Yen amount is about the same as Q2, you said in terms of amount. Q3 margin will decline against Q2, maybe because of seasonality or any planned investment? Thank you very much.
Junichi Arai: [interpreted]Thank you for the question. So let me answer your second question first. Minus 9% quarter-on-quarter and minus 18% year-on-year. And as I mentioned, in October, year-over-year, minus 18%. So these are the numbers we presented. And the expenses, as I mentioned at the outset, we are controlling stringently. And so flat, including natural churn, negative, slightly negative on that basis. Margin forecast is 27%. But given the October status, we're seeing around 27%, but we think the 27% is a bit conservative for us. So some new measures or things we have not communicated with you or new investment, it's not that we are expecting any new investments or other costs that we have not communicated to you. So did I answer your second question?
Minami Munakata: [interpreted]Yes. Thank you.
Junichi Arai: [interpreted]So to your first question about the minimum budget. So when the minimum or lower floor is set lower, the result will not be produced. It does not mean Indeed is not functioning properly. It means that the budget setting is not appropriate. So per job, we -- by setting minimum budget per job, the expectation and the outcome will be more aligned, and more desirable outcome will be produced. And we know that, that will be the case. That's why we are setting this minimum budget. So the clients who pay the money are receiving this positively.
Minami Munakata: [interpreted]I see. So you will visualize the appropriateness of the budget setting. I understand. Thank you.
Junichi Arai: [interpreted]So of course, $25, will be around that level, $20 to $25. But clients can choose not to pay this and just be a free client. And such clients will have the return for not paying. So if the return may be that much lower. So the return on what you pay will become clearer, more visualized.
Mizuho Shen: BofA, Nagao-san.
Junichi Arai: [interpreted]I'm sure Nagao-san will ask questions about the pie chart.
Yoshitaka Nagao: [interpreted]Up to how many questions may I ask? My name is Nagao of BofA Securities.
Mizuho Shen: Up to two questions at a time.
Yoshitaka Nagao: [interpreted]Understood. Then my first question is on Matching & Solutions. The third quarter outlook, I would like to know your view. So when we look at Matching & Solutions from a slightly different view, the third quarter is dining, beauty, travel. Considering their seasonality, I can imagine that the revenue could be pretty sizable in this quarter. And the margin is planned at 23%. So as the revenue grows, margin could expand proportionately. But what is the context of setting 23% as the margin outlook? That is my first question. Thank you.
Junichi Arai: [interpreted]Thank you. We are also looking at the past numbers, but the margin is slightly high in the third quarter. However, there isn't a significant difference over the past two years. Of course, it could be much lower in the following quarters, but it doesn't necessarily mean that we have exceptionally high margin in the third quarter. For example, in 2019, pre-COVID, the first quarter was 26.8%. The third quarter is 27.4%. Last year, the first quarter was 17.4%. Third quarter was 16.5%. The second quarter is slightly lower, but there is no significant dip or jump. So 23% doesn't imply anything, but it's just what we naturally reached.
Yoshitaka Nagao: [interpreted]Understood. Thank you. My second question is on the pie chart, Page 9.
Junichi Arai: [interpreted]Thank you. Thank you for that question.
Yoshitaka Nagao: [interpreted]So it's on Page nine. Well, I would like to make some basic clarification. This dark blues, beauty, travel, dining and SaaS solutions altogether, can I assume that there are specific revenue figures, and this is the sum?
Junichi Arai: [interpreted]Yes.
Yoshitaka Nagao: [interpreted]Okay. Then extracting SaaS solutions alone may not be your intention, but can I assume that it will be around JPY 10 billion in size?
Junichi Arai: [interpreted]Well, at least that is the result of the subtraction.
Yoshitaka Nagao: [interpreted]And can I assume that SaaS Solutions business is now a meaningful size?
Junichi Arai: [interpreted]In other areas, we are fortunate to have sizable businesses.
Yoshitaka Nagao: [interpreted]So what is sizable?
Junichi Arai: [interpreted]That is a different question, but I can understand your impression as a result of the subtraction exercise you've done.
Yoshitaka Nagao: [interpreted] I see. The revenue of SaaS solutions is clearer now. So I really appreciate this disclosure. Thank you very much. I will ask another question later.
Mizuho Shen: Citi Securities, Yamamura-san, please.
Junko Yamamura: [interpreted]Hello. This is Citigroup Securities, Yamamura speaking. I have two questions. First is HR Tech. North America and non-North America status is my first question. Looking at your numbers, North American weakness is supported by the regions outside of North America's strength. Is this COVID or just PPSA penetration or the minimum budget setting? Does that have an impact? Could you elaborate? That's my first question. Second question is, in the past, Indeed and M&S resource was consolidated and the advertisement office was unified to utilize the system to have the advertisement in the right media more efficiently. In U.S. Indeed office, do you plan to integrate U.S. Indeed office with Japan? Or not? And any upfront investment this fiscal year? Thank you very much.
Junichi Arai: [interpreted]Thank you for the question. So let me answer your second question first. So the full year business direction, the view, at that point, upfront investment was not considered, like you said, Yamamura-san. Of course, we have many plans, but we do not have a full year plan that includes your point. There are many possibilities. So we cannot clearly say this is not included, this is included, but we are thinking of the most possible, most promising measures for our business and the biggest contributor to better business efficiency. So we're thinking of various measures and try to judge whether it works or not as we move forward. So it's not that something will happen today or tomorrow. But as you rightly said, we will continue pursuing more productive, efficient, better job for our clients. So that was your second question. To your first question, our market -- compared to our market share in the U.S., the other overseas businesses, there are some countries where our competitors are very strong. Europe environment is as difficult as the U.S. But there's still big room for growth. So there are some European countries, many countries in Europe where we are acquiring market share. Now on a dollar basis and local currency basis, the situation is different. And we look at both. So in some case, overseas business, on a local currency basis, may seem stronger, revenue may be growing more, and so it seems more flat.
Junko Yamamura: [interpreted]Understood.
Junichi Arai: [interpreted]Does this answer your question?
Junko Yamamura: [interpreted]Thank you.
Junichi Arai: [interpreted]So we want to talk more about individual non-U.S. countries, it will be clearer, but because dollar is strong, non-US business is like this, and we like it. We like how things are. Thank you.
Mizuho Shen: Mizuho Securities, Kishimoto-san, please go ahead.
Akitomo Kishimoto: [interpreted]This is Kishimoto speaking. I have one big question. Within Matching & Solutions, I have a question about HR Solutions. So according to the financial results, I saw the comments there. And in terms of attributes or industries, can you give us any colors on the hiring situation of the companies recently? And in the third quarter, 2% growth is projected for HR Solutions. And in the second quarter, some clients were hesitant to hire. And maybe such clients are expected to increase. Or is it going to be a high hurdle to achieve year-over-year growth? So what is the assumption for the momentum change from the third to the fourth quarter? That's my big question.
Junichi Arai: [interpreted]Thank you for your question. As we explained, for the second quarter, we initially explained the revenue projection, and the result is slightly lower than that. And the third quarter is around 2% growth is being projected. So in terms of growth rate, it is more moderate. That's what the numbers tell you. Some clients are cautious, but other clients are active. On the job board, are they going to post ads? Or are they going to go to placement service? And what is the category the clients are looking for? That is the -- that makes a lot of difference. And the future is unclear, but the type of programming or engineers will continue to have high demand regardless of the industry or the type of clients. And of course, service business demand will continue to be high. On the other hand, manufacturing may be weaker. So depending on the industry, it's true that there are differences in colors, so to speak. But job work wise, there is a strong demand. So it's a mixture.
Akitomo Kishimoto: [interpreted]Understood. So towards the fourth quarter, do you think this trend is going to continue? I'm sorry, I'm asking about the future.
Junichi Arai: [interpreted]Well, because of the given situation, full year projection is less than what we originally disclosed. So I would like to make my decision by subtracting between fourth and the third quarter. Thank you.
Mizuho Shen: Macquarie Securities, Tanioka-san.
Shinji Tanioka: [interpreted]This is Tanioka from Macquarie. I have one question. HR Tech. Sorry if you already explained this, but you've been doing good cost control in HR, in talents and the advertisement. And in the full year comment by Idekoba-san, even if the underlying basis changes, you can achieve a higher 20% margin. But if the top line does not drop that much, you've frozen the hiring and took other measures. Will you resume those measures? And if you resume your hiring, what will be the trigger? Thank you.
Junichi Arai: [interpreted]In May results call or in February, Idekoba-san said, if the difficult -- said that the difficult situation will continue for around one year, more than one year, and that is the case this year. So what will happen next year, calendar year 2024? So I think that is what your question is coming from. So it's not just the fourth quarter numbers. But beyond that, we are trying to cautiously ascertain the outlook to communicate to you. As of today, the economy does not seem to turn upward and lead to strong demand. So even if the fourth quarter revenue becomes stronger than we anticipate, it will not be a substantial uptick. So for now, we will use our money to where we need to and prepare for the next upturn. Our behavior, our view remains unchanged. So we don't know what the revenue will look like in the fourth quarter, but short-term margin, whether it hits 30% or 35%, we will keep that behavior in running our business. So if that happens, we don't know when it will happen. But if we can clearly see the bottom, we may take such action. But we don't know where the bottom will be. So we're not thinking of such action yet. Thank you.
Mizuho Shen: CLSA Securities, Kato-san, please go ahead.
Jun Kato: [interpreted]This is Kato speaking. Can you hear my voice?
Junichi Arai: [interpreted]Yes. Hello.
Jun Kato: [interpreted]Hello. So I also have a question on HR technology. In this third quarter, minus 18% is projected. In the second quarter, it's the same, and also the same for October. So in November and December, I think the projection is also the same. And last year's hurdle is going to be lower. And is that the assumption? Or PPSA contribution is expected to be more, resulting in 18%, minus 18%? What is the assumption here?
Junichi Arai: [interpreted]As I responded earlier, pricing model change is neutral. That is the basic assumption. Supply and demand imbalance is going to ease, and the economic situation continues to be tough. These are the two main factors.
Jun Kato: [interpreted]Understand. In the bottom, what is the KPI for you? Job openings maybe increased for 3 consecutive months. What is the KPI for you?
Junichi Arai: [interpreted]Well, macroeconomic indicators are something we are focusing on as well as Idekoba-san -- we are looking at those indicators to paint a picture of our future. So there is no one magic indicator that we are focusing on. It is a combination of multiple factors that we take into account. Of course, we have internal data, and we also have public indicators like jobs. As Kato-san said, how much job openings are increasing or decreasing, what is the trend? These are also something we pay our attention to. But what is difficult is what is the trigger for our clients to think about restarting hiring. There may be a gap with the actual economic situation. Maybe some people will make a leap or some people are more cautious. So it's a very difficult decision, but we are referring to basically the same indicators that you would look at. It's not something automatic, for example, if it increases for how many months, it's good.
Jun Kato: [interpreted]Understand. So in terms of the number of paid job ads, I think it was 50%, minus 50% for the second quarter. But how should we look at this in the fourth quarter?
Junichi Arai: [interpreted]Well, I think it was a question from Munakata-san that I responded to earlier. We have been carrying out those measures. So the drop or change of paid job ads volume is no longer relevant to our revenue trend. So in my script earlier, we mentioned that we're no longer going to be disclosing that information. So I recommend that you shouldn't rely too much on that number. And going back to the original topic. The number of job posting is a data for us to know what companies are starting to think according to Idekoba-san. 
Jun Kato: [interpreted]Thank you. That's all from me.
Mizuho Shen: SMBC Nikko Securities, Maeda-san, please.
Eiji Maeda: [interpreted]Hello. Thank you very much. So my question is on HR Tech. Like you said earlier, it will take some time for it to normalize. And the speed towards normalization seems to be mild. It is not plunging or declining rapidly. So it may take some time to -- towards normalization. It may linger. It may take a long time. So next year, if the top line does not bottom out, how much cost control can you do next year? You started reducing cost from last year. So it may be more difficult for you to control your costs further. So if you have an image, so if your view on the time it requires for normalization and your cost control measures. Thank you.
Junichi Arai: [interpreted]Thank you. So normalization, meaning the supply/demand balance?
Eiji Maeda: [interpreted]Yes. Supply-demand tightness.
Junichi Arai: [interpreted]From the extraordinarily tight supply-demand, it is now relaxing. So thank you very much. Next year, the economy will turn upward and the hiring will progress. No, that is not realistic. That is not the view we have at this point in time. So I think you know better than me, will we see a hard landing or a deep dive or a slow decline or a shallow bottom but linger for a long time. We're thinking of all these scenarios as we consider our next step. And I think you are too, and we are, too. But like I mentioned earlier, we don't know when the timing will be. But when the market recovers, we need to become stronger and bigger. So that is our only focus, to become stronger when the market recovers next. So no matter how long or shallow or deep it is, we are doing what we need to do. But as we mentioned in May this year, we need to keep our discipline as a listed company and demonstrate -- carry out and demonstrate what we are doing to the capital markets participants. So we must do what we need to do. But there are things we can do in the short term and other things. We have to hit the right balance. So like we said last time, the assets and the talents that will contribute to our future growth, we will invest there without hesitation. So of course, we have the short-term view, but the biggest focus is how to grow when the economy recovers. That is the sole focus. And so whether the time is long or short, we will do what we need to do. We will not do what we should not do. We will not push ourselves too much to control our costs.
Eiji Maeda: [interpreted]Thank you. This may be a similar question, but until that time comes, you will control costs further? And if the environment deteriorates, you will keep the discipline as a listed company? You said you will keep the margin at a certain level?
Junichi Arai: [interpreted]Like I say every time, we do not take certain steps to keep the margin at a certain level every quarter. But at the same time, we have a margin level that we have to keep as a listed company. So we have that perspective, too. But it's not that we will do everything to keep that.
Eiji Maeda: [interpreted]I understand. Thank you.
Mizuho Shen: BofA Securities, Nagao-san, please go ahead.
Yoshitaka Nagao: [interpreted]So this is my second turn. So for the Matching & Solutions business, I have a question about your view regarding the margin in this segment. In the second quarter, in Marketing Solutions, EBITDA margin is approximately 30%. And for HR Solutions, it's approximately 23%, both for the second quarter. Last year, on a full year basis, it was 25% -- around 25% for Marketing Solutions. So the margin has significantly improved for Marketing Solutions. What is the driver here? And for HR Solutions, the margin in the second quarter was 23%. And last year, on a full year basis, it was 12%. So this is, again, a significant improvement. I believe this is not only coming from cost reduction, but also due to revenue growth resulting in margin improvement. For both of the businesses, what is the mechanism for this margin improvement? What is the most recent situation? Thank you.
Junichi Arai: [interpreted]The revenue mix has been changing for one thing for each of the subdivisions. For example, in HR Solutions, we have media and the placement service. The revenue breakdown is not disclosed. So I cannot explain what is the mechanism of the margin growth there. And I can say the same for marketing solutions side as well. But I hope you will remember that back in May or even before that, we described last year, we have strategic investment in Matching & Solutions. And for that year, we didn't really mention the specifics of this investment. But in this May, I think you learned that more investments were made in HR Solutions. But we are not going to be making the same level of investment this year. I think that's what we explained back in May. In HR Solutions, there is a difference in how we spend money. And of course, in Marketing Solutions, we are using less money for investments here. Last year, in this segment as a whole, 14.5% was the EBITDA margin. But this year, it's 20% overall, that is the target.
Yoshitaka Nagao: [interpreted]As you mentioned, in the first half, Marketing Solutions will be around 30%, and HR Solutions will be 23% for the first half. That is the level of the margin. And there is the headquarters cost. And when we deduct that, the overall margin will be around 22%.
Junichi Arai: [interpreted]So when we take into account the headquarter cost, there is a certain level of performance we need to achieve in order to realize 22%. So we have to control our spending. And on the business side, we scrutinized the need for hiring so that we can achieve 20% margin on a full year basis. Thank you.
Yoshitaka Nagao: [interpreted]One follow-up. In the past disclosures, the EBITDA for Marketing Solutions was around 27% at maximum. But the first half has finished and it's already around 30%. So the cost is being controlled, and revenue mix is improving. You have been working on the SaaS Solution business. And can I assume that its profitability improvement is also contributing here? Can you give us some more color as much as possible? Thank you.
Junichi Arai: [interpreted]When we disclosed in the past, the cost allocation has been changed quite a bit from what we disclosed. Just before we stopped disclosing, you cannot compare the margin at that timing, apple-to-apple with the current margin. Well, we had a headquarters cost allocated up to only a small degree. What was happening in the past, the headquarters cost was smaller than what we have today. So one of the answers will be, it's not an apple-to-apple comparison. But still, we are taking various measures so that we can come closer to that level. Well, we should be disclosing the margin on a consistent basis so that you can make a fair comparison, but that is not the case. So what we are presenting today would be lower based on the previous basis.
Yoshitaka Nagao: [interpreted]I understand.
Junichi Arai: [interpreted]I'm sorry, I cannot give you specific numbers, but I just want to tell you that it's not safe to make a simple comparison.
Mizuho Shen: [interpreted]So next question will be the last one. JPMorgan Securities, Mori-san, please.
Junichi Arai: [interpreted]Mori-san, thank you. I thought you were absent today.
Haruka Mori: [interpreted]No, thank you. I was not ready yet for, sorry. I have two questions. First is on a consolidated basis, advertisement expenses. First half was around JPY 40 billion down. In usual years, you invest more in the fourth quarter. So second half tends to be bigger than the first half. But last year, because of Indeed, and looking at first and second half, second half was smaller. This year will be the usual year, second half bigger than the first half. In that case, on a year-on-year basis, the advertisement expenses decline will not be the case -- will not decline that much. So if you could elaborate? This year, do you have any particular focus in your advertisement expenses? Last year, direct recruiting service was a focus. Do you have any particular focus this year in your investment? That's my first question.
Junichi Arai: [interpreted]For Japan, this year, we are not investing with a particular focus. Because we don't have any focus, like I said -- answered Nagao-san's question, margin is improving. So that is my short, straightforward answer. Second half, as we mentioned, for Japan business, we think it's most effective to invest in the Japan business like we do every year. So it may not be like last year. Like usual years, we will have bigger investment in the fourth quarter.
Haruka Mori: [interpreted]I'm not looking at these numbers on a consolidated basis, but I only look at it on a segment basis. So it's just a simple addition, but I'm not so sure about the consolidated numbers. In first and second half, Matching & Solutions business in Japan has the biggest difference. Matching & Solution Japan will have bigger second half than first half? Thank you.
Junichi Arai: [interpreted]Thank you very much. So Matching & Solutions, you are looking at the current margin in third quarter, 23%. You add this up and multiplied by the revenue percentage and margin 20%. So you can calculate the fourth quarter margin from the full year forecast. So that is the amount we plan to use.
Haruka Mori: [interpreted]Yes, Indeed, the operating expenses, Indeed, the operating expenses, in advertisement expenses, there are not that many swing factors. This year, not much increase or decrease from quarter-to-quarter?
Junichi Arai: [interpreted]Right. We have discipline. We are investing in a disciplined manner. So the HR is being controlled, and this is also being controlled. Because of this economy, the return on the advertisement expenses may not be big. And so we naturally reduce the advertisement expenses.
Haruka Mori: [interpreted]Thank you. My second question is a big theme. Indeed future works, you talk about AI a lot. So there are things you've done from the past and the new product that you launched in spring, HR Tech, AI utilization. When we think of this as a one big theme, it is used to improve the service or the new product that will be launched next spring. Will this be for the additional added value, ask the clients to pay the usage fee for added value? Is it for higher usability? Or by using AI, can you increase TAM? If you could share with us your rough view.
Junichi Arai: [interpreted]As you rightly said, we -- by offering better service to the users and the business clients, we can enjoy higher profit in the long run. So that is what we are doing through various trials and errors. We have done many things and analyzed the numbers. But language, if we can understand the language, we will understand more how to evolve and improve the services.
Haruka Mori: [interpreted]So is it just feeding in numbers and analyzing it?
Junichi Arai: [interpreted]Yesterday, Idekoba-san and I talked about how much more we can do with AI. So I hope Idekoba-san and you can have such discussion in the future. We can do more things, more new things going forward. This HR hiring business, the personnel cost ratio is high in the total cost because the business was done by people manually. People matched the hiring. And to increase sales, we needed more people. So it was a high personnel cost business. We needed more people for higher revenue, but higher, more convenience will be more productivity for us. So the lagging industries will have higher potential. And maybe the advanced industries may not have much room for improvement. So because there are -- it was -- it used to be slow or lagging behind, we can do more. And that's what we are talking, Idekoba-san and I. It is a very promising discussion from business development people. And like we announced yesterday, we want to do many things. It's very exciting. So to answer your question, the investment in this area, despite the good or bad economic times, we have to do, we have to invest no matter what. And we have the strong commitment because we think we are the only one who could do this in the HR industry and for a brighter future. I hope we can share with you some more specifics in the future.
Haruka Mori: [interpreted]Thank you very much. I look forward to it.
Junichi Arai: [interpreted]Thank you.
Mizuho Shen: Last but not least, let me announce an upcoming IR event. Coming Friday, December 15, at 8:00 a.m. JST, Svenja Gudell, Indeed's Chief Economist and the Head of the Indeed Hiring Lab, will host a webinar session to discuss global labor market trends. The event will last approximately one hour with a presentation followed by a Q&A session. Details about this event will be posted on our IR site tomorrow. We hope that you can attend this event and take advantage of this opportunity. Thank you.